Operator: Good day ladies and gentlemen and thank you for standing by. Welcome to the Manchester United Earnings Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] We would like to remind you that this conference call is being recorded. I will now turn the call over to Corinna Freedman, Head of Investor Relations for Manchester United.
Corinna Freedman: Thank you, operator. Good morning everyone and welcome to Manchester United's first quarter 2020 earnings call. A corresponding press release containing our financial results was issued earlier this morning and can be accessed on our IR website. Today's call is being recorded and webcast and a replay will also be available on our site for 30 days thereafter. Before we begin and as a matter of formality, we would like to remind everyone that this conference call will include estimates and forward-looking statements, which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. Any such estimates or forward-looking statements should be considered in conjunction with the cautionary note included with our earnings release as well as various other risk factors, discussions in our prior filings with the SEC. With us on the call today are Ed Woodward; our Executive Vice Chairman; Richard Arnold; our Group Managing Director; Cliff Baty, our Chief Financial Officer; and Hemen Tseayo, our Head of Corporate Finance. I will now turn the conference call over to Executive Vice Chairman, Ed Woodward for his opening remarks.
Ed Woodward: Thank you, Corinna. Thank you, everyone, for joining us today. It's only been a short time since our Q4 and year end update, so prepared remarks today will be relatively brief. Before Cliff and Richard talk about our financial and operational performance for the first quarter, I thought it would be useful to provide a statement regarding our goals, how we aim to achieve them and the progress that we've made to-date. Our ultimate goal is to win trophies, playing fast, fluid-attacking football with a team that fuses graduates from our Academy along with world-class acquisitions. We know this will not be achieved overnight. However, we've made investments across the club that we believe have set us on the right path. To recap on these for a moment. Firstly, over the last few years, we've significantly invested in our recruitment infrastructure to augment our already strong and experienced team who are working to a clear philosophy. This is demonstrated by the signing of McGuire, James, and Wan-Bissaka, who have all settled in well. We'll continue on our strategy to promote the best players graduating from our Academy, together with material investment in the coming summers to strengthen our young squad further and challenge for trophies. As a sign of investment and use for the future, we fielded the youngest team in the Premier League this season in our game against Brighton at an average age of under 24 years old. Secondly, we've also made investments in our Academy across recruitment, facilities, analytics, and these investments are now beginning to bear fruit. Last season, we led the Premier League in the most first team match minutes played by our graduates. Across the Premier League, our graduates are playing 58% more minutes than those from any other club. Our Academy graduates have scored or assisted 31 of the 32 goals we scored so far this season. And finally, we are shortly approaching a milestone 4,000th first team consecutive competitive game featuring an Academy player in the Matchday squad. We know our Academy has a strong competitive advantage and is an area that we'll continue to invest in as it is the heart of the club. I want to reiterate that our ability to make investments we need to be successful in the pitch is underpinned by continued strong financial performance. Though season to-date, we've had a mixed start to our Premier League campaign. In Europe, we've qualified for the Europa League knockout stages with two games to spare. We've also progressed to the quarterfinals of the League Cup while our women's team has also started their first season in the Women’s Super League season in competitive form. Shifting to broadcast developments, cumulative live audiences for the Premier League was up 10% from pre-two seasons ago to last season. Moreover, combined live audiences season to-date in the U.K. are up 17%. Our home match on October 20th drew Sky's third biggest Premier League audience of all time. We remain very optimistic for continued increases in global football broadcast rights, as demonstrated by recent news that CBS has acquired the UEFA club competitions in the U.S. through to June 2024. According to Bloomberg, this was an estimated 50% increase from the prior U.S. contract and will feature select games free-to-air. We're also looking forward to Amazon's live Premier League broadcast, which will commence in the upcoming quarter and we know that the platform will also produce the highlights show. Turning to some industry news, as many of you will be aware, FIFA recently announced of the intention -- sorry, the first iteration of the revamped summer Club World Cup tournament will take place in China in June 2021. Currently, the annual tournament comprises only seven teams and is played in December, while the revamped tournament will expand to 24 teams and take place every four years replacing the Confederations Cup. Finally, a brief update on FIFA's Transfer Task force. After a long consultation period, in October, the FIFA Council approved a series of key steps to protect the integrity of the system and prevent abuses. In particular, there will be limits on loans of players, which won't have a material impact on us and the introduction of major reform around agents, including requiring all agents to be formally licensed and include educational measures, restrictions around multiple representation to avoid conflicts of interest, and a cap on agent's commissions. I'll now hand you over to our Group Managing Director, Richard Arnold, who'll update you on the key business activities. Thank you.
Richard Arnold: Thank you, Ed. As Ed referenced, our commercial strength underpins our ability to fund our continued growth, both on and off the pitch. Turning first to our media and digital, we achieved several milestones across our digital platform, including our highest ever number of daily active users of our free global mobile app during the opening day of our season against Chelsea. We also saw increases in monthly active users and average time spent per user per month versus the same quarter last year, metrics that confirm to us that our content is compelling and delivering the access that our highly engaged fan base actively seeks. We also saw increasing engagement for our Match Center app feature during the quarter, which provides live game stats to our fans' second screens through our mobile app. During the quarter, we also released a documentary that followed the Manchester United women's team on their first successful season, which culminated in achieving promotion to the Women's Super League. The women's team social channels already have over 800,000 social connections. And on Instagram alone, our women's channel already has more followers than eight of the men's Premier league clubs. For the first quarter, the increase in sponsorship revenues continues to reflect the scale of our global fan base. The phenomenal engagement that we are driving is the direct results of our continuous improvement and investment in data analytics as well as superior digital and content capabilities which strive to deliver best-in-class return on investment for our partners. We are pleased to report that during the first quarter, we commenced new global partnership with Konami, Visit Malta, Yabo Sport, and Lego. Our Megastore turnover year-to-date is ahead of our expectations on higher traffic, basket, and conversion, due in part to two additional home matches played in the first quarter relative to last year. In addition, our first home match against Chelsea drove a record single day turnover. eCommerce has also experienced strong year-over-year growth in Q1, with growth coming from all major markets benefiting from the earlier launch of the replica kits during the summer. Lastly, from a venue perspective, our official membership product is on course for another strong year, and our match-by-match ticket-related products are selling at a solid pace. This follows on from our seasonal ticketing and hospitality products selling out in record time over the summer, with both continuing to have robust waiting list demand. Our capital projects and other upgrades are progressing on track this quarter and visitor response has been positive. Looking forward, we will be rolling out our new accessible facilities over the coming months and focus also now turns to planning our summer 2020 upgrade projects. I will now turn the call over to our CFO, Cliff Baty, to review our financial details in more -- financial results in more detail. Cliff?
Cliff Baty: Thank you, Richard. I'm going to talk to our results for the first three months of fiscal 2020. As a reminder, year-on-year comparisons relative to fiscal 2019 have been impacted by the absence of Champions League broadcasting revenues and the cadence of matches on a quarterly basis. In terms of headline figures, total revenues for the quarter were £135.4 million, up £0.4 million versus the prior year, with adjusted EBITDA of £34.8 million, up £5.4 million over the prior year. Both revenues and EBITDA for fiscal 2020 are tracking in line with our annual guidance. Turning to the key items in the results, total commercial revenues were £80.4 million, an increase of £4.5 million versus the prior year with sponsorship revenues of £53.6 million, an increase of £4 million over the prior year, reflecting sponsorship growth and additional tour revenues. Merchandising and license revenues for the quarter increased £0.5 million at 26.8% due to strong Megastore performance helped by two incremental home games. Broadcasting revenues decreased by £9.9 million during the quarter to £32.9 million due to our participation in the UEFA Europa League compared to the Champions League in the prior year. It is worth highlighting that it is in 2Q, where we will experience the biggest year-on-year impact from the reduction in UEFA broadcast revenues due to the timing of matches played. Matchday revenues increased by £5.8 million to £22.1 million given the impact of one additional home Premier League match and one additional home Europe match in the quarter. Moving down the income statement, operating expenses excluding depreciation and amortization were down £5 million versus prior year. This includes wages, which were down £6.8 million, primarily due to the reduction in player salaries as a result of nonparticipation in UEFA Champions League. Other operating expenses for the quarter increased by £1.8 million, due primarily to expenses relating to a larger summer tour and the two additional home matches played during the quarter. Amortization costs were £32.2 million for the fiscal quarter, a decrease of £2.9 million versus the prior fiscal year. Profit on disposal of £12 million in the period is primarily due to the sale of Romelu Lukaku to Inter Milan. Net finance costs for the quarter were £8.5 million, an increase of £3.3 million due to foreign exchange movements on the unhedged portion of our U.S. debt. Our cash interest costs in U.S. dollars remain consistent year-on-year. Turning to the balance sheet, at the end of September, cash balances were £140.3 million, down £107.2 million versus the prior year, due primarily to higher player CapEx. As mentioned on our fourth quarter earnings conference call, the guided net player CapEx of £173 million in fiscal 2020 reflects accelerated payment and deferred receipt profiles of our summer activity. As a result, contracted CapEx commitments for fiscal 2021 and beyond are substantially lower. Net debt at the period end was £384.5 million, an increase of £137.3 million compared to the prior year due to the lower cash balances and also the impact of unfavorable foreign exchange movements on our U.S. dollar-denominated debt. Please note that the gross U.S. denominated debt principle remains unchanged. Turning to the full year, we continue to expect full year fiscal 2020 revenues between £560 million to £580 million and our adjusted EBITDA between £155 million to £165 million. And with that, I'll hand the call back to the operator and we are now ready to take your questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question today will come from Randy Konik of Jefferies. Please go ahead.
Randy Konik: Thanks a lot and good morning. I guess a question for Richard. You talked about some of the continued increase in engagement statistics around the digital side of the business as well as you announced some key new sponsorships, it looks like two from Europe and two from Asia. Are you thinking about taking the app and kind of layering an even more digital partnership opportunities for your commercial sponsor partners? I've seen some stuff on the app with links to HCL or Swissquote. So, there's some advertising in there, but it seems as if there's another kind of access to allow for you to add more value to your partners from an advertising and exposure standpoint. So, just give us some perspective on what you're thinking about doing from an app perspective? And I guess, second, with the new announcements of these Malta, Lego, Konami, et cetera, are you -- have you reimagined or rethought what the addressable market would be around the world in the different regions for sponsorship opportunities? Because it seems like your ability to continue to kind of grow that is much bigger than we would have thought a few years ago. Thanks.
Richard Arnold: Thanks Randy. So, the two questions in summary were opportunities within the app for increased commercialization and then, secondly, ongoing expectations for the future in terms of sponsorship growth, if I've understood that correctly. So, turning to the first question, I think that -- what you've seen to date is that our focus has been primarily on fan engagement and quality in terms of the design of the app and the user experience. And the results of that have been borne out in terms of both the app rankings in stores as well as the engagement statistics we've seen. The next phase that's planned for the app will be around growing its scale. And that is something that in conjunction with the work that we're doing on, obviously the existing social media platforms or on our TV audiences around the world as part of that integrated solution, obviously, that engagement and its scale do provide opportunities for commercialization. At this stage, it's not expected that those are commercialized separately, but that those form part of the integrated architecture we've got now for rights monetized on a global basis by category. So, for example, airline, car, et cetera, as you've seen to-date. In terms of the second point, in terms of the ongoing expectations around sponsorship, what we're seeing is that the underlying demand for our rights continues to be strong. Pipeline is good and that new categories are constantly being derived as the world evolves, particularly in a digital setting, and we had continued to have a number of major categories open for future sponsorship as well as strong in category price point growth as a result of demand for those rights. So, in total, we continue to be confident about the sponsorship business. You've seen the results in terms of growth this quarter. And that's borne out by what we are seeing in the marketplace to-date and our view that there continues to be a strong market and growth of the sponsorship business remains constant.
Randy Konik: Perfect. Thank you.
Operator: [Operator Instructions]
Operator: Ladies and gentlemen, at this time, we will conclude our question-and-answer session, and also conclude the Manchester United earnings conference call. We thank you for attending today's presentation and you may now disconnect your lines.